Operator: Greetings. Welcome to Mawson Infrastructure Group, Inc. Second Quarter 2022 Earnings Results Conference Call. At this time, all participants are in listen-only mode. A question-and-answer session will follow the formal presentation. . Please note, this conference is being recorded. I will now turn the conference over to your host Nick Hughes-Jones, Chief Commercial Officer. Thank you. You may begin.
Nick Hughes-Jones: Hello everybody, and thank you for taking the time to hear about Mawson Infrastructure Group. My name is Nick Hughes-Jones, Chief Commercial Officer of Mawson. Joining me today is James Manning, our Chief Executive Officer and Founder; and our Chief Financial Officer, Ariel Sivikofsky. We look forward to taking you through the investor presentation today, but first, I need to read you a short disclaimer around forward-looking statements. Please be aware today, we will be making forward-looking statements. These statements are based on current expectations and assumptions and are subject to risks that could cause actual results to differ materially from those expected. We may also make forward-looking statements as part of our Q&A at the conclusion of this presentation. Please be sure to refer to the cautionary text regarding forward-looking statements contained in this presentation on Slide 2, as well as the Risk Factors in our Annual Report on Form 10-K filed March 21, 2022, under the sub heading Risks Relating to Our Business, as well as the 10-Q filed today, Monday 22, August. As of last Friday night's close, Mawson has a market capitalization of approximately $60 million, is listed on the NASDAQ under the code MIGI, M-I-G-I and has five Bitcoin mining sites across the USA and Australia.  As of the end of July 2022, our Bitcoin self-mining installed operating capacity was at approximately 1.7 exahash, which based on current network we believe produces approximately 7.5 bitcoin per day. Throughout the month of July, Mawson continued to participate in energy demand response programs, whereby we curtail our energy use in exchange for revenue and reduce cost of production. Our installed hosting co-location capacity as at the end of July was approximately 1.8 exahash bringing our combined installed self-mining and hosting co-location capacity to 3.5 exahash, one of the largest installed Bitcoin mining operations amongst our NASDAQ listed peers. As a reminder, an exahash abbreviated an EH in these slides, currently speaking is a measure of computing power. The more exahash you have online, the more declines you produce on a daily basis. We have recently alluded to our second Bitcoin mining facility in Pennsylvania and are pleased to report today that we have received a favorable energy load study meaning that our Sharon, Pennsylvania facility is capable of operating at up to 120 megawatts or 4 exahash, meaning we are today upgrading our total energy capacity available for Bitcoin mining to 590 megawatts, which is one of the largest confirmed infrastructure pipelines amongst our NASDAQ listed peers. This is a significant strategic advantage for Mawson given the very high levels of demand for energy infrastructure in the Bitcoin mining industry today. We also recently announced our intention to defer major forward capital expenditure until market conditions normalize. And we'll instead sweat our existing decline mining fleet, continue to deploy our hosting co-location customers, and will continue to participate in energy demand response programs, something we'll touch on further later in the presentation. As a result, we anticipate our Bitcoin self-mining business to be operating at approximately 2.3 exahash by Q4 of 2022. And we expect to have our hosting co-location agreement deployed at approximately 3 exahash by Q4. Resulting in total operations across our self-mining and hosting co-location at approximately 5.3 exahash by Q4 2022, again one of the largest installed Bitcoin mining capacities amongst our NASDAQ listed peers. Mawson is also proudly a net zero carbon miner in hosting co-location provider, something we will touch on later in the presentation. With that, I'll hand over to CEO and Founder, James Manning.
James Manning: Thanks, Nick. Q2 was a solid operational period for the group. Our hosting co-location business expanded materially growing from 16 megawatts or 0.5 to 54 megawatts or 1.8 exahash over the period with hosting revenue growing sequentially from $550,000 in Q1 to $3.57 million in revenue in Q2, up 536%. Our self-mining operation continued its growth, rising from approximately 1.35 exahash in March and touching an interim all time high of approximately 1.85 exahash in June and slightly ahead of July's run rate of 1.7 exahash, with our Bitcoin self-mining operations producing 490 Bitcoin, up 286% versus Q2 2021. We also commenced our Energy Demand Response Program late in the quarter generating additional revenue reducing overall cost of production as a result. We significantly added to our energy pipeline during the second quarter. We signed a new 120 megawatt or 4 exahash of Bitcoin mining capacity facility in Texas in part of the shift with New York Stock Exchange listed Texas Pacific Land Corporation. We also received variable energy load studies at our second Pennsylvania site,  Sharon, for that site also being capable accommodating 120 megawatts or 4 exahash. Turning our head to the Q2 results. The second quarter was a solid one operationally for our business. Mawson generated $19.5 million in revenue in Q2, up 236% percent compared to Q2 2021. Our revenue in Q2 was up slightly versus the previous quarter. The good result considering the Bitcoin price fell approximately  over the period. Gross profit came in at $5.4 million flat compared to Q2 2021. And non-GAAP EBITDA came in at $13.7 million up 756% versus Q2 2021. Turning to operational highlights for Q2. Having completed the build out of our 80 megawatt facility in Georgia in Q1, we commenced work to expand this facility to 130 megawatts in Q2. This when fully deployed was capable of operating at 7.5 exahash. We also entered into a transaction when Mawson will become a 33% shareholder in Tasmania Data Infrastructure. We are developing a large scale hydropower Bitcoin mining facility in Tasmania and the Southern half of Australia. Subsequent to period end, we also raised $10 million in additional capital in July to continue to build out our digital infrastructure for potential strategic transactions and for increased working capital. With that, I will hand over to CFO, Ariel Sivikofsky.
Ariel Sivikofsky: Thanks, James and hello, everybody. Turning to Slide 5, I will provide some financial highlights from quarter two. Cash and cash equivalents in quarter two, 2022 were $2.5 million down from $3.3 million in quarter one. And as previously mentioned by James we had subsequent period end base $10 million in new capital in July. Total assets grew from $166 million in quarter one to $191.8 million in quarter two, reflecting additions in property, plant and equipment from Bitcoin hardware deliveries, and the continued deployment of energy infrastructure across our facilities. We also benefited from a $17.7 million increase in derivative assets reflecting the favorable valuation of our energy contracts over the period. We continue to pay down our foundry digital debt facility in quarter two, reducing debt by approximately $3 million over the period. They've continued to pay this down in quarter three. We currently expect that this debt facility to be paid off completely by October 22 increasing our monthly operational cash flow commensurately. Equipment deposits declined to $2.8 million in quarter two, down from $41.7 million in quarter one as Bitcoin miners were delivered to our facilities. Our mining fleet is now fully paid for and delivered with no outstanding payments, a unique position to be in amongst our NASDAQ listed peers. With that, I'll hand back to James to provide an update on our self-mining and hosting co-location businesses.
James Manning: Thanks Ariel. On Slide 6 we illustrate our forward expectations for our Bitcoin mining, self-mining business. As at the end of July of 2022, Mawson having sold operational capacity of approximately 1.7 exahash downsized from June's all time high of 1.85x exahash reflecting downtime due to deployments during the period. We expect this to rise to 2.3 exahash by Q4 2022 reflecting our decision to defer all major forward capital expenditure until market conditions normalize and instead preferring to maximize and optimize our existing assets. This position may change as the market conditions develop and we're encouraged by the recent moves in Bitcoin energy cost and Bitcoin miner prices combined with network difficulty. As this slide demonstrates, a 2.3 exahash, we expect to be reducing approximately 10.5 Bitcoin per day, and assuming current network difficulty and a bitcoin price at 25,000, we would expect this to produce $95.8 million of annualized revenue, rising to $223.5 million of annualized revenue and 24.5 Bitcoin today, assuming a fully deployed fleet of 5.5 exahash in 2023. We also anticipate our megawatt capacity increase from 590 megawatts today to approximately 800 megawatts by the end of Q4 2022 and our 2000 megawatts in 2023 as we further cement our attractive energy infrastructure pipeline. Our hosting co-location base business detailed here on Slide 7 has expanded significantly over the course of the second quarter, with revenue from this division, rising from -- rising 536% sequentially from 550,000 in Q1 2022 to $3.5 million in Q2. At Mawson given we had the energy infrastructure capacity surplus to our self-mining requirements, we are able to use this infrastructure to generate additional revenue streams, which are all paid in USD and provide for hosting services to third party customers. We now have approximately 100 megawatts of hosting co-location customer agreements in place, making one of the largest NASDAQ listed hosting co-location providers. And we expect these to expand further to 120 megawatts by the end of 2020 and then up to 200 megawatts in 2023. As at the end of July, our hosting co-location business was operating at approximately 54 megawatts over halfway towards our fully contracted deployment of 100 megawatts. Inbound interest and demand for hosting co-location continues to be strong, and we look forward to updating shareholders on this front in due course. Turning to Slide 8, I'd like to spend some time going through the newest business division, the Mawson's Energy Demand Response Programs. Given the movements we've seen across the energy markets in 2022, and particularly in quality, Mawson moves swiftly to take advantage of the energy market volatility. By curtailing our energy use over the course of each month, Mawson known additional revenue from these -- by participating in these programs and also significantly decreases the cost of our overall energy bill. Results today have been very encouraging and we look forward to providing investors more information in due course. By curtailing our energy use, Mawson is also able to support local energy networks and avoid CO2 emissions at the same time as receiving an economic benefit for doing so, a win-win for all parties. This process is managed by our partner's at Voltus, energy consultants and Mawson's internal team. We are under no obligation to curtail our energy and participate in demand response programs. However, the results of that have been extremely positive and is to be expected to further reflect in our quarter three results given the program that we initiated late in the second quarter. In quarter two, given the importance of energy prices to Mawson's financial performance, we are required under U.S. GAAP account process to recognize the change in value of our energy contracts. This results in an additional $17.7 million asset on their balance sheet. This will be tested each quarter as to provide investors with the maximum transparency on this very valuable asset within the Mawson business. Turning to Slide 9, at Mawson we spent considerable time and resource focusing on our energy and energy infrastructure. In an industry where energy infrastructure is in very hard demand, this puts us through the strategic advantage. Central to our infrastructure first thesis, we focus on securing long-term high-quality and low cost energy infrastructure. This is evidenced by the 7 to 26-year terms we have across our global facilities, we option to buy some of the facilities. Pleasingly, over the course of the second quarter, we have added 120 megawatts share portfolio in Texas, as well as 120 megawatts in Sharon at second Pennsylvania facility. The addition of these two new sites in the second quarter provides with not only additional megawatts in a very tight market, but also further geographical diversification of our facilities. We anticipate adding additional hosting customers to fill out the surplus energy infrastructure in due course. Our current available energy infrastructure capacity sits at 509 megawatts with a pipeline of over 500 megawatts providing most of them with one of the largest energy pipelines in the industry. And as we have demonstrated in the second quarter, the signing of our new Texas facility, our receipt of positive load sales at our Sharon facility, we've demonstrated our ability to convert pipeline into reality. The depth of experience of both board and management global insight Mawson has ensured we are focused on developing our energy infrastructure first followed by the addition of Bitcoin miners and hosting customers. I'll now turn it over to Nick to touch on our existing infrastructure assets, our ESG focus and our team.
Nick Hughes-Jones: Thanks, James. Expanding on our existing and pipeline energy infrastructure from Slide 9, Mawson has developed a large energy infrastructure portfolio. Our current plus potential brownfield and greenfield expansion opportunities leaves us with the scale to be operating at approximately 19.85 exahash over time, put appropriately between self-mining and hosting co-location operations. Development of these sites will of course be subject to market conditions. Critically, Mawson is committed to being a long term sustainable Bitcoin miner by targeting carbon free and sustainable energy at our sites. In Pennsylvania, we're using 100% carbon free nuclear energy and we sourced that power from energy harbor to run three of the local nuclear power plants in Ohio and Pennsylvania. The Beaver Valley nuclear power plant is just a mile from our Midland, Pennsylvania facility. In Georgia, where we have recently been approved and commenced initial work to expand our facility threefold to 230 megawatts in 2023, there are two brand new nuclear reactors coming online in the next 6 to 12 months, Vogtle 3 and Vogtle 4, two 1100 megawatt Westinghouse pressure water reactors, bringing an additional 2.2 gigawatts, which is an additional 17% of energy into the existing 13 gigawatt Georgia grid. This is one of the major reasons we selected this site. as we expect a lower carbon footprint and potentially lower energy prices as these new reactors come online. We've included Texas today in our investor presentation, where we have secured a site for the capable of operating at up to 4 exahash. As a reminder of this facility, we have collaborated with JAI Energy and Texas Pacific Land Corporation, one of the largest landowners in Texas with 880,000 acres across their land portfolio, providing us with substantial opportunity to expand into the state of Texas over time. At our second facility in Pennsylvania in the town of Sharon, as previously alluded to, we've received a positive outcome from the energy load study and can confirm the site can accommodate up to 4 exahash or 120 megawatts. The Pennsylvania Energy Group is a deregulated market with a large percentage of energy coming from nuclear or carbon free sources that we are very excited by the development potential of this state. Turning to Slide 11, where you can see images of both our Georgia facility and our Midland, Pennsylvania facility. Our strict selection process ensures we are targeting long life, low cost and high quality sites. We have long term leases on all of our sites. 26 years in Sandersville, Georgia, 15 years in Midland, Pennsylvania, 15 years in Sharon, Pennsylvania, 15 years in Texas and 7 years in Australia. We use our internally designed modular data center technology, enabling us to be one of the lowest cost and fastest deployers in the industry. And we look at all of our sites through our net zero carbon 2030 and ESG strategy lens, ensuring our energy mix is low carbon. Expanding on the topic of ESG at Mawson, this is a core priority for us. We've already touched briefly on our focus on carbon free energy. In addition to this, we offset any residual carbon footprint using carbon offset credits. In 2020, we offset over 22,000 tons of carbon supporting wind and native biodiversity projects in the process. We are now in the process of assessing and offsetting our 2021 carbon footprint. In quarter two, we engaged in energy demand response programs, curtailing our energy usage, receiving revenue and reducing overall energy costs. One of the other major benefits of participating in these programs is the energy use we avoid. Year-to-date, we have avoided emitting 7,488 tons of carbon and has curtailed over 11,264 megawatt hours, a win-win for all parties involved. By the end of 2022, we will have planted over 1,000 new trees across the U. S. and Australia with 75,000 trees planted in 2022 alone which is approximately 1.5 new trees planted every time a block is created on the Bitcoin blockchain. Mawson is also a very active member of the local communities in which we operate, something we take very seriously. We sponsored both local school football team in Sandersville, Georgia and have academic scholarship programs in place in the local county. We've also initiated our community engagement program in Pennsylvania, sponsoring Buhl Park as well as supporting the local community colleges, performing arts centers and local health system. Lastly from me, Slide 13 touches on our Board and Management team. Our U. S. team is led by our Chief Operating Officer, Liam Wilson with Chief Development Officer, Craig Hibbard, overseeing the development of our portfolio of facilities in the United States. You've already heard today from our CFO, Ariel Sivikofsky who joins the Mawson's team and brings with him 25 years of financial stewardship and a thorough understanding of the cryptocurrency industry. Our Board is chaired by Greg Martin, who is the CEO of Australia's largest energy business AGL Energy for five years and was with AGL for 25 years. Michael Hughes, another of our independent non-executive Directors, as extensive experience across capital markets, governance and audit and Yossi Keret, who has substantial experience across NASDAQ listed businesses. With that, I'll hand it back to James to bring the presentation home.
James Manning: Thanks Nick. For our second last slide, I wanted to highlight just outline Mawson's Board and senior management are with all our fellow shareholders. Board and management currently earned approximately 19% of Mawson. So we all have a huge amount of skin in the game. This is unique amongst our NASDAQ Mawson with peers and ensures we are extremely focused on shareholder returns. Lastly from me, before we move on to questions in summary, why invest in Mawson Infrastructure Group? Well, over the last twelve months, we've grown our self-mining, hosting co-location business 17 times from 0.2 of exahash to 3.5 exahash as of July 2022 and anticipate growing this further by an additional 50% in the year end to 5.3 Exahash. We had infrastructure first business with significant amount of energy infrastructure in place, approximately 590 megawatts a strategic advantage in the current environment. We are one of the most sustainable Bitcoin miners on the NASDAQ with the majority of our energy coming from sustainable sources, predominantly nuclear energy. We have strategic - relationships in place with Voltus, Purpose Investments, Canaan and Texas Pacific Land Corporation. We're one of the most efficient partners and our lowest cost employers of the infrastructure in the industry. And we have a very high insider ownership as previously mentioned 19% meaning we are incredibly focused on shareholder returns. With the presentation now completed, we want us to take this opportunity to thank all our employees, suppliers and shareholders for their ongoing support in 2022. I'll now hand the floor back to any questions.
Operator: Thank you.  Our first question comes from the line of Josh Siegler with Cantor Fitzgerald. Please proceed with your question.
Josh Siegler: Yes, hi. Thank you for taking my question today. I was wondering if you guys can provide some additional color on the demand environment for hosting right now? Thank you.
James Manning: Hi Josh, James Manning here thanks for the question. We've got a lot of inbound inquiry for hosting. So we're very comfortable we could build out more hosting than we had to capacity for at the moment. And I think that goes to our view around building the infrastructure out at the same time as we build out our self-mining business So we're still getting a lot of inbound inquiry. Everyone's obviously very price sensitive and price focused, but there's a lot of demand there.
Josh Siegler: That's great to hear. And then can you help us size the potential benefit from the energy demand response program? Do you expect it to have a material impact on your profit stability in 3Q and potentially beyond? Thank you.
James Manning: Yes, I'm cautious that I don't want to start providing forward estimates, Josh, but what I can say is the demand responses as had really two big benefits for us to allow us to avoid the op prices, that peak pricing as we curtail in those times. As well as provide that additional revenue stream from responding to market requirements. So it does have a - it does have a material impact on our cost to produce bitcoin as well as our overall energy input costs and I had expect in Q3 to have a very positive effect on our overall financials.
Josh Siegler: Thank you very much, appreciate the color.
James Manning: Thank you.
Operator: Our next question comes from the line of Darren Aftahi with ROTH Capital Partners. Please proceed with your question.
Unidentified Analyst: Hi, this is Austin on for Darren. Thanks for taking my question. Just one for you I'm curious if you can talk about your average cost per megawatt to develop infrastructure currently? And whether you've seen the pricing on that change at all recently and whether that varies from location-to-location? Thanks.
James Manning: Hi Darren, thanks great question. Look, it does vary - it's not very high level. It does vary from location-to-location. So depending on which jurisdiction you're in, and which location will affect whether we have to build that substation group. We're leveraging existing substations whether there's, upgrades to the poles and wires or whether there are own upgrades to poles and wires. So it does vary a little bit from site-to-site. On average, we're coming in at about - low to mid $200,000 per megawatt of build our infrastructure. And we're seeing that we've obviously seen that come up since last year. We were lower than that, but I think everyone's very aware of the inflationary pressures in the market. And we've sort of manage that. But I think against that, we're quite lucky we have a lot of infrastructure forward order and that's helped us manage that infrastructure pressure cost.
Unidentified Analyst: Got it, I appreciate that. Thanks.
Operator: Thank you.  Our next question comes from the line of Kevin Dede with H.C. Wainwright. Please proceed with your question.
Kevin Dede: Hi James, Nick. Thanks for having me. You folks have announced both Celsius and Foundry and you didn't really address either one, save to say your overall hosting targets. I was wondering if you might be more specific by customer if that's a luxury afforded to you. Otherwise, maybe you could offer more, I don't know, insight on the hosting targets that you've set. I mean, it's a 100 megawatts this year, up almost 2x and then another 2x increase next year?
James Manning: Yes, so I'd start that Kevin with - as previously mentioned, there's a lot of demand by hosting. And I think what you're seeing us do in this period is deliver a large increase - of that installed base of what we're hosting today. So we've got - just over 50 odd megawatts of installed infrastructure. So for hosting clients and we continue to build that out, we won't breakdown we won't break down the - by customer hosting contracts and we don't want to provide boards. But what I can confirm is we'll have customers are currently performing their contracts in the ordering course of businesses as they wouldn't be comfortable around our customer concentration risk and our customer credit risk that helps you.
Kevin Dede: Yes, thank you. The demand response program, congratulations on implementing that, can you speak to how ubiquitous it is across the Mawson network given well I'd say, what two locations in Australia, right and the U. S. locations?
James Manning: Yes look, we can broadly. We curtail all our sites operationally with respect to the demand response. We've got an active program in PA, which is part of the PJM market up there. And we also have some in Australia and outside there. So that's a curtailment strategy in curtailment and past non-response in Australia, it's slightly different to what the American traditional market new order demand responses. And in PA, we've got that - with bolters there helping us managing that demand response program.
Kevin Dede: Okay, thank you, James. One last one if I may. Could you offer a little more insight on the deployment in Texas, 120 megawatts and understand it's through a partnership. I guess what's not clear for me and I apologize is just how that that power would be divvied up. Is that - does that fall entirely in your lap to use a self-mining or hosting?
James Manning: So Texas is a, it's a partnership with Texas Pacific Land Corporation. It allows us to do, I guess, both we can do hosting and or self-mining on the site fundamentally. The great thing about it is it's got low CapEx because all the substations are already in place. It's actually a combination of a series of smaller size which allows us to avoid any of the air issues with approval. And I guess when we combine that with current market prices on how we're comfortable that we can build out Texas as an appropriate time. We're currently focused on finalizing and build out at a PA where we've got a great lock in energy price and then we'll turn our head to the Texas opportunity.
Kevin Dede: Okay great James. Thank you. I'll hop back in the queue.
James Manning: Thanks, Kevin.
Operator: Thank you  Our next question is a follow-up from Kevin Dede with H. C. Wainwright. Please proceed with your question.
Kevin Dede: Thanks very much for taking this one too, gentlemen. Your power to exahash conversions are based on what type of machine?
James Manning: Sorry where are you looking at Kevin?
Kevin Dede: Well, just in general that you've offered some really great insight in the slides. And just for instance, right, you've got four exahash at 120 megawatts. And I'm just wondering what your machine basis was - in terms of tariffs, output and tools?
James Manning: Correct, we usually calculate that on about 3,400 watts a machine. So we'd sort of take the high end of energy consumption on that basis so that we're comfortable around that energy assumption. Obviously, there'll be some, efficiencies there. But usually we're looking at the MicroBT units or a combination of mix ultimately a combination of the MicroBT units and the Canaan units and some bitcoin units so reflecting the mix that we're currently running in our portfolio.
Kevin Dede: And what terahash output then to James if you wouldn't mind sharing?
James Manning: Between 90 and 100.
Kevin Dede: Okay fair enough. Great thanks. Thank you very much gentlemen.
James Manning: We're assuming that - that equipment that we can readily buy available today on the market, how we're attacking again.
Kevin Dede: Right, right, very good. Thank you very much. Well, James, since I'm still here and you're here, if you wouldn't mind, could you offer insight on immersion plans and strategy tests, anything that you might be able to offer?
James Manning: We're currently looking at how we roll out emerging part of that Texas build out. We have obviously our proprietary design and we're also assessing current market solutions that are out there. But I think when we build out most like do on a design at this point in time.
Kevin Dede: Okay very good. Thank you very much. Appreciate getting a second swing at the plate.
James Manning: Thanks Kevin.
Operator: Thank you. There are no further questions in the audio queue. I will now turn the call over to Nick Hughes-Jones.
Nick Hughes-Jones: Thanks, operator. I've got one last question before I go ahead off to the next meeting. It comes through from a pretty submitted question for Matt. Matt, can you please give some detail on the energy contract in Pennsylvania, what's the cost of energy and the term, please?
James Manning: Thanks, Matt. I can see you're on the call as well. So our energy costs in PA are some $0.04, they are in the mid $0.03. It's a five year PPA. It's guaranteed to be under the same contract to be carbon neutral. So it's green energy. And it's - that our counterparty there is in the Energy Harbor and we have the demand responsibility in that contract. And I think that was a big change for us in the period of June as we realized that contract and converted that to a - a contract that we can now liquidate in the market and respond to another sort of solution.
Nick Hughes-Jones: Thanks, operator. I'll hand it back to you now.
Operator: Thank you. Ladies and gentlemen, we have reached the end of the question-and-answer session. This does conclude today's conference and you may disconnect your lines at this time. Thank you for your participation and have a wonderful day.